Operator: Good morning, and welcome to National Bank of Canada's Second Quarter Results Conference Call. I would now like to turn the meeting over to Marianne Ratte, Vice President and Head of Investor Relations. Please go ahead, Marianne.
Marianne Ratte: Merci and welcome, everyone. We will begin the call with remarks from Laurent Ferreira, President and CEO; Marie Chantal Gingras, CFO; and Jean-Sébastien Grisé, Chief Risk Officer. Also present for the Q&A session Lucie Blanchet, EVP Personal Banking; Judith Ménard EVP Commercial and Private Banking; Michael Denham, EVP and Vice Chair, Responsible for Integration of CWB; Nancy Paquet, EVP Wealth Management; Etienne Dubuc, EVP Financial Markets; and Bill Bonnell, EVP of International, Responsible for CWB Bank. Before we begin, I would like to refer you to Slide 2 of our presentation for information on forward-looking statements and non-GAAP financial measures. The Bank uses non-GAAP measures such as adjusted results to assess its performance. Management will be referring to adjusted results unless otherwise noted. I will now turn the call over to Laurent.
Laurent Ferreira: Merci, Marianne, and thank you, everyone, for joining us. This morning, we reported second quarter results, which include CWB. We generated earnings per share of $2.85 up 12% year-over-year and a return on equity of 15.6%. Our performance reflects organic growth in our business segments, including an excellent performance from financial markets driven by strong client activity and volatile markets, and as well early momentum in cost and funding synergies from the CWB acquisition. We ended the quarter with a CET1 ratio of 13.4% in line with expectations. Our capital position is strong, allowing us to support business growth, and we also raised our quarterly dividend by $0.04 effective next quarter. Turning to the macroeconomic context. The uncertainty related to global trade tensions and ongoing negotiations continues to be an overhang on the economy. Increasing geopolitical and geo-economic instability and projected fiscal deficits in major economies are making the path of growth and inflation difficult to forecast. This in turn is bringing instability to capital markets and is keeping long-term interest rates high. That being said, the latest developments regarding global trade negotiations seem to be progressing in the right direction. The effect of tariff rate being absorbed by Canada is lower than initially anticipated. Canadian businesses have been quick to initiate USMCA compliance and as a result, the share of covered products has increased significantly. Despite the uncertainty, Canadian consumers and businesses are demonstrating resilience. As always, we will continue to support our clients providing advice in these challenging times, and we will support investments in domestic projects across the country. Before turning to our results, I would like to say a few words on our acquisition of CWB. We are off to a strong start, and we are excited about the opportunities ahead. I am very pleased with the integration momentum, as well as the positive reception from clients. Employees have all been on-boarded and our teams across the country are working towards a smooth integration for our clients. Funding and cost synergies are progressing ahead of schedule. And with the first wave of client migrations starting this summer, this sets the table for revenue synergies, starting towards the end of the year. Looking now at our business segment performance. P&C Banking generated net income of $316 million including $45 million from the CWB transaction. Excluding CWB, P&C delivered 4% revenue growth year-over-year as we continue to grow our balance sheet. Our commercial book grew 14% with sustained opportunities in insured residential real estate and broad-based growth across our industries and geographies. Personal mortgages grew 4% year-over-year with strong origination levels and pointing to similar growth levels in the second half of 2025. Wealth Management grew net income by 15% year-over-year on the back strong organic growth. Net sales in our channels combined with market levels generated double-digits, fee-based revenue growth, while our strong deposit base supported solid growth in net interest income. This quarter, operating leverage was negative for this segment because of the integration of CWB's Wealth business. However, cost synergies will support our attractive efficiency ratio, which came in under 60% again this quarter. Financial markets generated net income of more than $500 million this quarter, with net income growth in the first half of the year, well ahead of the expectations we had coming into 2025. Global markets benefited from volatility and higher than usual volumes in our trading businesses in the second quarter. Client activity remained robust despite macro uncertainty. Corporate & Investment Banking delivered resilient performance with revenues up 2% year-over-year. Clients remain active but prudent in the current context. Turning to The U.S., Credigy delivered net income of $40 million this quarter. Credigy grew net interest income 4% year-over-year with underlying growth of 2% in average assets. We expect the market to remain competitive for the rest of the year. As always, Credigy will continue to be opportunistic, as conditions evolve while maintaining discipline on new investments. At ABA Bank, we had a great quarter. Our client and deposit base grew 33% and 21% respectively, and loan growth came in at 7% year-over-year. I will now pass the call to Marie Chantal.
Marie Gingras: Thank you, Laurent, and good morning, everyone. My comments will begin on Slide 8. The Bank delivered strong performance in the second quarter. Solid results in our business segments were complemented by the CWB addition. On an all bank basis, revenue increased by 33% and PTPP rose by 45% year-over-year. Excluding CWB, revenue grew by 22% year-over-year. All segments contributed to this growth with particular strength in financial markets. PTPP increased by 34% year-over-year and operating leverage was positive at 10%. Also excluding CWB, expenses increased by 12% year-over-year, mainly driven by variable compensation, in line with the strong financial markets performance. This was partly offset by a $22 million reversal of a property tax provision. Apart from these two items, expense growth was 9%. Additionally, technology costs reflect the continued evolution of our infrastructure and increased support for business growth. Turning to the impact of the CWB transaction. It contributed $298 million to revenues and added $155 million to expenses. As we completed our first quarter together, our focus remains on executing effectively and with impact as we pursue our integration plan. We are pleased with the cost and funding synergies that are materializing already, as we continue to build the foundation to fully realize the targeted synergy. To this end, CWB employees are actively learning our product, processes and systems, and we opened a customer contact center in Edmonton. We are engaging with our clients, providing information on the full suite of National Bank offerings and providing updates on the migration timeline. Moving to Slide 9. Non-trading net interest income in Q2 increased by 11% sequentially on an outlying basis. The CWB transaction significantly contributed to NII adding $251 million. Excluding CWB, NII was relatively stable sequentially after adjusting for the fewer number of days in the quarter and the $11 million annual dividend recorded in U.S. SFI in Q1. The All Bank NIM, excluding trading, was 2.23%. CWB was accretive to NIM, adding 4 basis points. Excluding CWB, NIM was 2.19%, down 7 basis points sequentially, reflecting a lower P&C NIM, lower commission fees in corporate banking and the Q1 U.S. SFI dividend. The P&C NIM was impacted by the balance sheet mix as loan growth exceeded deposit growth. We expect this trend to continue in Q3. Turning to Slide 10. We continue to see solid expansion across the balance sheet. Total loans reached $286 billion, up 22% year-over-year, including approximately $37 billion from the acquisition. Excluding CWB, loans grew 6% compared to last year. The commercial loan book was most impacted by the addition of the CWB portfolio. Excluding CWB, commercial loan growth was a solid 14% year-over-year. Deposits, excluding wholesale funding, grew to reach $294 billion, up 23% compared to last year. Excluding CWB, deposits increased by 10% year-over-year and were stable sequentially. Personal deposits rose by 9%, driven by continued growth in demand deposits, and non-retail deposits were up 11%. While deposit pricing continues to be competitive, the Bank's funding strategy remains disciplined and client-centric, prioritizing stable relationship based deposits over rate sensitive flows. The acquisition of CWB meaningfully diversifies our deposit base, adding scale and expanding our reach across client segments. Now turning to capital on Slide 11. We ended the quarter after closing the CWB transaction, with a robust CET1 ratio at 13.4%. The Day 1 impact of the transaction on capital was nine basis points. Internal capital generation was strong, adding 41 basis points to CT1. Excluding the Day 1 impact, credit risk RWA utilized 23 basis points of CT1 consistent with solid balance sheet growth, while market risk RWA accounted for 9 basis points, primarily driven by business growth and underlying market volatility. During the quarter, we migrated one small CWB portfolio to AIRB, contributing 3 basis points to CT1. The majority of the capital benefit is still expected to be realized in 2026, as we migrate the client portfolios to our platform. In the meantime, we are very pleased with the strength of our CET1 ratio. Slide 12 shows that, we're tracking ahead of our plan to deliver approximately $270 million pre-tax of cost and funding synergies by the end of fiscal 2027. We expect over $135 million, by the end of Q1 2026. In the second quarter, we realized $14 million in funding synergies with $9 million through NII and $5 million who lowered preferred share dividends, and equity instrument distribution. This was accomplished by leveraging our rating profile and optimizing the capital structure. We have also realized $13 million in cost synergies, mostly through the reduction of the IT infrastructure cost and consolidation of centralized functions. The realized cost and funding synergies of $27 million in Q2 represents $115 million on an annual basis, which equates to approximately 43% of our three year target. Cost synergies will continue to materialize and accelerate, as CWB clients are on-boarded. Recall that, the platform migration will be done in beginning this summer and continuing into early calendar 2026. In Q1, we highlighted areas where we see significant opportunities for revenue upside, both in NII and fee income. We are executing our strategy to achieve our targeted revenue synergy. We continue to expect revenue opportunities to accelerate in 2026, following the completion of client migration, with the full benefit to materialize in 2027 and beyond. Moving to Slide 13. Our outlook, including CWB, remains unchanged from last quarter. Adjusted EPS growth will continue to be impacted by the amortization of the fair value and a larger share count. However, excluding this amortization and supported by our strong first half performance, we remain confident in delivering mid single-digits EPS growth and adjusted ROE of approximately 15% for the year. We also maintain our target for positive operating leverage in 2025. To conclude, we remain focused on driving sustained and profitable growth going forward. CWB will serve as a tailwind for our businesses for many years to come. While it is still early days, I am pleased with our progress and excited about opportunities that lie ahead. I will now turn the call over to Jean-Sébastien.
Jean-Sébastien Grisé: Merci, Marie Chantal, and good morning, everyone. I'll start with Slide 15. Since our last call, the Canadian economy has faced heightened uncertainty, largely driven by tariffs and global trade tension. These challenges add complexity to an economy already showing signs of softening. While recent progress on several trade discussions with The U.S. is encouraging, the environment continues to be fluid. As such, we are maintaining our cautious approach and remain prudently provisioned. In this context, our credit portfolios continue to perform in line with our expectation, supported by our defensive positioning, resilient mix and disciplined risk management. Now turning to the second quarter results. Total PCLs were $545 million or 79 basis points, which reflected the initial provision on performing loans of $230 million, related to the CWB transaction. Adjusted total PCLs were $315 million or 45 basis points, which was 4 basis points higher quarter-over-quarter. We added 12 basis points of adjusted performing provisions in Q2, driven by model calibration, macroeconomic outlook and tariff uncertainty. This is in addition to the nine basis points we took last quarter. PCLs on impaired loans were $219 million or 32 basis points, which was stable quarter-over-quarter. Excluding CWB, impaired provision declined slightly to $192 million from $196 million last quarter. Looking at impaired PCLs, by segment. Personal Banking provisions decreased sequentially to $53 million, mostly driven by uninsured mortgages. Commercial banking provisions were $71 million reflecting a Q filed. Additionally, the CWB portfolio is performing in line with our expectations. In financial markets, impaired PCL of $55 million or 8 basis points were related to a single file in the manufacturing sector. At Credigy, we continued to see a normal seasoning of portfolios. And at ABA, impaired provisions decreased to $14 million. Turning to Slide 16. Our total allowances for credit losses reached $2.2 billion representing 5.7x coverage of our net charge offs. Our performing allowance reached $1.5 billion, representing a strong performing PCL coverage ratio of 2x. We have been building allowances for the past 12 quarters and remain comfortable with our prudent provisioning levels. Additional metrics on our allowances are provided in Appendix 10. Turning to Slide 17. Our gross impaired loan ratio increased to 98 basis points, mainly driven by the CWB transaction and in line with our expectations. Excluding CWB and USSF&I, the ratio was 54 basis points, 5 basis points higher than last quarter. Formations this quarter reflect the CWB transaction. Removing this impact, total formations would have been down quarter over quarter. At ABA, net formations declined for the second consecutive quarter and remained below the peak observed at the end of 2024. On Slide 18 and 19, we highlight our Canadian RESL portfolio. Quebec now accounts for 51% of the portfolio and insured mortgages account for 27% of total resale. Average LTVs for our HELOCs and uninsured mortgages remain in the 50s, and higher risk uninsured borrowers represent less than 1% of the total resale portfolio. Furthermore, approximately 75% of the portfolio has now been re-priced at higher interest rates. 90 day mortgage delinquencies remain below the pre-pandemic level, with our clients continuing to demonstrate resilience in managing higher refinancing costs. Appendix 8 provides an overview of our portfolio following the CWB transaction, along with an update on tariff-sensitive sectors. Our exposure to these sectors remains limited, with the most sensitive borrowers accounting for less than 1% of the Bank's total loan. Looking forward, uncertainty remains around the outlook for economic growth and unemployment. The impact of tariffs is still difficult to quantify, and the range of potential outcomes remains wide. That said, we continue to expect impaired PCL to be within the 25 to 35 basis point range for the full year. In conclusion, we are well-positioned to navigate the ongoing volatility and uncertainty, giving our defensive attributes, resilient mix and prudent level of allowances. And with that, I will now turn the call back to the operator for the Q&A.
Operator: Thank you. [Operator Instructions] We will now take questions from the telephone lines. The first question is from Matthew Lee from Canaccord Genuity. Please go ahead. Your line is open.
Matthew Lee: Hi, morning. Thanks for taking my question. Maybe one on guidance. Q2 numbers, I'm going to assume, were better than you could have expected, but trading revenue is doing really well. So, just a bit surprised you didn't update earnings guidance for the year. Are there any mitigating factors for us to consider in the back half or just maybe some conservatism built into the mid single-digits growth expectation?
Marie Gingras: Thanks, Matthew, for the question. It's Marie Chantal here. So we are very confident in delivering our mid single-digits EPS growth for fiscal 2025. That said, we do see upside dependent on market conditions. Obviously, we're starting with a record first half, so we're on solid footing. And also remember, we're facing a tough comp in Q3 this year. And I think most importantly, what's important is our execution on the CWB integration is going very well, and it's creating tremendous upside for our growth across Canada. You can expect us to continue demonstrating strong discipline to navigate the evolving landscape, and deliver robust performance. And maybe on the market condition, Etienne, do you want to give a few words?
Etienne Dubuc: Yes. Thanks, Marie. Hi, Matthew, it's Etienne. So I think maybe it's probably good to talk a bit about the trading performance in Q2. Obviously, we delivered an outstanding performance over what we felt was already a great quarter in Q1. When you look at market conditions in Q2, we probably had close to an ideal trading environment, especially for three groups, specifically in equities that operated really above trend. I'm referring to structured products, issuance and trading, equity finance and option and ETF market making. So all three strategies benefited from market conditions, where you saw intense, but short volatility events typically triggered by tariff announcements, and that created large, but short-lived moves that we were able to capture. But these dislocations were not persistent enough to disrupt the fundamentals of these markets, which means that, markets were functional well, trading volumes were strong, funding spreads remained elevated and product issuance stayed robust. We were actually surprised, by how well issuance activity held us steady. And also really pleased with our trading rates and our market share there. It was a volatile environment and we had strong client activity and strong results. And it was also busy on the FX side with a rise of volatility and again, a lot of active clients. So when you consider that resilience, looking at the rest of fiscal 2025, what we anticipate is a trading performance, that is still solid, but lower sequentially and more aligned to long-term trend, because on one hand, I think we can expect more volatility episodes, but that probably will come with lower issuance volumes and lower trading volumes because of seasonality. But then, if we look at other businesses that will pick up, I look on the Corporate & Investment Banking side, what we see for Q3 and the rest of the year is fairly positive. There you could see sequential growth. The lending pipeline remains encouraging. There is strong demand in areas like renewable energy infrastructure, where we are well positioned. Advisory, the tariff uncertainty is slowing down transaction closings, but deals are getting done and client dialogue is active. At DCM, we anticipate healthy issuance early in the second half, especially from governments, but then followed probably by a seasonal slowdown a bit later in the summer months. And equity new issue, that's still slow, although and that's really tied to uncertainty, but that could accelerate really quickly. So against this backdrop for financial markets overall, we feel really constructive about our ability to achieve year-over-year growth in revenues for the second half of the year. Is that helpful?
Matthew Lee: Yes, it's very helpful. I'll pass the line.
Operator: Thank you. The next question is from John Aiken from Jefferies. Please go ahead. Your line is open.
John Aiken: Good morning. In terms of the AIRB transition, happy to see that there was a small portfolio this quarter. Can you provide us any measure of quantum in terms of what the potential risk weighted asset relief could be? And whether or not this is going to be a slow burn into the latter part of 2026, or are we actually going to see a step function more linear?
Marie Gingras: Yes. It's Marie Chantal. Thanks for the question. We're happy to migrate one file portfolio. This is really indicative of where we're going. However, as I said, majority of the benefit is coming in 2026. So therefore, we still are planning to give full capital plan update strategy later in the year, so mostly at Q4. So stay tuned. This is what our plan is in terms of capital update.
Operator: Now the next question is from Doug Young from Desjardins Capital Markets. Please go ahead. Your line is open.
Doug Young: Hi, good morning. Just in on capital, 13.4% CET1 ratio, you seem confident in moving some of the CWB portfolio over the AIRB and getting a pickup in 2026. So why not put an NCIB in place? Why not be active on buybacks? And I know you talk about putting out the capital plan later this year. What's kind of stopping you from maybe doing so earlier?
Laurent Ferreira: Doug, it's Laurent. I'll take that question. We think it's a bit early to talk about buybacks at this point in time. One, there's uncertainty in the market and we do have sort of a prudent stance in general, when it comes to macroeconomics. But having said that, our focus is organic growth. Our focus is to grow our business out west. We're going to be integrating portfolios, starting this summer and we're engaging with a lot of those clients. And so, we want to see how that. See how that flows through and the impact on organic growth as well. But Marie Chantal just mentioned, we're going to provide a capital plan at Q4, and go over the full impact of AIRB at that point in time and we'll talk about buybacks obviously. So we're going to ask for a bit of patience on that, but our focus is really on growing our balance sheet. Does that help?
Doug Young: Yes, it does. I mean, do you feel that you organically can put the capital that gets freed up by moving CWB over to AIRB like to work organically?
Laurent Ferreira: Again, it's early, but the discussions that we are having with our clients and our new clients are joining us and are very encouraging. So just CWB client joining us, there's growth from that. And given our footprint now out west, we know that, there's going to be opportunities for us to grow. So, yes, having said that, we are also in the middle of an integration. So we want to focus on that. We want to focus on making sure that, the first wave of clients are coming onto our systems. And with that, we'll be able to provide with a good capital update, by the end of the year and our plans for 2026.
Doug Young: Okay. That makes sense. And Laurent, while I have you and maybe I'm chomping at the bit and asking stuff that's going to come later in the year, but you said, set the stage for revenue synergies by the end of the year. Can you kind of flesh out what you need to see, or what needs to happen to kind of start to get some line of sight on revenue synergies or for them to start to come through. I assume it's migration systems and getting people up to speed. But just hoping maybe you can push that out a little bit, what you meant by that?
Michael Denham: Okay. Doug, it's Michael Denham here. Your assumption is a good one. So what's happening now is the teams are kind of working together in the field and they're bringing some new opportunities in the slides in terms of our risk management services derivatives. We have a bigger balance sheet, so it's going for increased so it's happening in the field. But to your point, the real change takes place around revenue synergies once we get into the migrations. And once we've migrated and we're doing this in a series of steps and once clients migrate into our systems, you're at a point where the CWB folks are going to fully trained and all things at National Bank, and the clients will access the full range of National Bank products and services and that happens post migration. So that's when the real revenue synergy momentum will begin, and that will happen in a series of steps beginning in the summer.
Doug Young: Okay. And when does P&C Banking and when does Wealth, when are those migrations occurring?
Michael Denham: So the P&C Banking, the Personal & Commercial Banking transition takes place at the same time over the course of the beginning of the summer. Let me Marie, talk about Wealth.
Marie Gingras: Yes. And for Wealth, we're aiming at late fall to migrate the three businesses that are now becoming Wealth, which is the trust business, the investment and deposit business and as well as what they used to call their Wealth businesses. And this will come in waves as well from the fall till early 2026.
Operator: Thank you. The next question is from Sohrab Movahedi from BMO Capital Markets. Please go ahead. Your line is open.
Sohrab Movahedi: Thank you. Étienne, I wanted to start with you. Always good to see excellent results. Were you surprised by how well you did in the trading or how well the franchise was able to deliver, I guess, in the environment? And can this cut both ways? Could there also be quarters, where you may be surprised negatively to the extent you were surprised positively here?
Étienne Dubuc: Yes. Thanks, Sohrab. That's a good question. And like I gave in my previous answer, these were very, very good trading conditions. Where we expecting, what happened around Liberation Day, no, that was not, and these were a couple of the most profitable days in the history of the franchise following the Liberation Day. You had markets going down 4% on the day after and 6% two days after those announcements. Obviously, with the volatility positions we had on the book and the very defensive approach we had prior to this tariff announcement, that was pretty much ideal positioning. Now could we -- what's the downside? I think that's a fair question. And you remember Sohrab, Q3 in 2023, that was a so, so quarter for us. The reason for it was low volatility, low client activity. We are a franchise that's about providing liquidity, providing structuring solutions, trading with clients, providing hedging solutions. When that dies down, that's the downside. That could happen. Typically, it happens in the summer. I don't see it happening this year because we still have a lot of tariff announcements and tariffs being pushed back. So I think the downside for us this year is limited. But if you look at the long-term trend of where our performance should be, I think, if we're able to deliver year-over-year growth for the next two quarters, that still means that, our long term positive trend to our business is in place. Is that helpful?
Sohrab Movahedi: That's very helpful, Etienne. Maybe just for crystal clarity, when I look at your daily trading revenues and VAR chart, there is a particularly strong day, that I assume is Liberation Day. And can you just clarify, if it's not one single trade, it would have been broad-based?
Laurent Ferreira: Yes. It would have been broad based and that's April 4th, so not the day after Liberation Day, but one day after that. So S&P was down 6%, TSX was down 5%. So that strength came from rates, came from FX, came from structured products, where we had a big core volatility position and came from market both in options and ETFs, because volumes exploded and you had a lot of dislocations, bid-ask spreads widened. And so, that's a really good environment for our trading businesses, especially as our technology continued to perform really admirably during that volatility.
Sohrab Movahedi: Okay. And just maybe just for Jean-Sébastien, I mean, gross impaired, excluding Credigy loans. I mean, the trends are not necessarily comforting here. They continue to kind of trend higher with or without CWB. Why do you feel okay with these trends here, Jean-Sébastien?
Jean-Sébastien Grisé: I think first thank you, Sohrab, for your question. And as you correctly pointed out, the gross impaired loan increase this quarter is really driven by the CWB transaction and also the effects of the formations of CWB during the quarter and of National Bank during the quarter. And we've seen, one of the largest drivers of total GIL being ABA for a while. And this quarter, we've seen a continued reduction in the level of formations. The book that we also bought from CWB is secured. And when you look at our GILs, most of our GILs are on secured transactions. And secured transaction tend to stay in GILs longer before they are written off. Contrary to credit cards, for example, which will not show on GILs at all And I'll give you another example, Sohrab. If we had a commercial real estate insured transaction, it would also show in our GIL levels. So GIL levels do not necessarily translate in credit quality. So what I look at is really how is our delinquency doing and our delinquencies trending fine. I'm also looking at how are impaired loans performing and you've seen a stabilization in the performance. And you've actually seen some improvements in our retail portfolios. And if you had excluded the CWB, PCLs and Commercial this quarter, we would have been down also. So I'm comfortable with where we are right now.
Operator: Thank you. The next question is from Mario Mendonca from TD Securities. Please go ahead. Your line is open.
Mario Mendonca: Sorry about that. Can you hear me okay?
Laurent Ferreira: Yes.
Mario Mendonca: Sorry, I just dropped the phone. One sort of quick model question, the tax rate does seem a bit higher than what you're seeing for your bank. Is it the addition of CWB, or is it more about the mix of revenue, the elevated trading in the quarter?
Marie Gingras: Thanks, Mario. So tax rate, when you look at it on a year-over-year basis, obviously, is the impact of Pillar 2. And as we explained in the past couple of quarters, we were expecting a little bit around 2% impact, and that's what you're seeing. And in terms of the CWB impact, it won't have a material impact on our results. And if you look at the P&C segment, probably wondering, when you looked at the model, I'm sure you saw the impact in Q2 for P&C and that's really something related to the provisions that were higher this quarter for the P&C group. So you can expect that to come back to regular tax rate for the next couple of quarters.
Mario Mendonca: Okay. And then just if we could go to ABA for a moment, looking at some of what you guys call the ABA Bank key metrics. The formations in the quarter, it says, here, let's just catch-up, formations of $47 million in the quarter, this is formations of gross impaired loans at ABA. But gross impaired loans as well were up, I mean, it could be mostly a coincidence, but a very similar amount in the quarter, like, almost exactly actually $47 million increase in gross impaired loans. How do I interpret that? Do I interpret that, as there were no resolutions in the quarter or are there other moving parts I don't know about?
Laurent Ferreira: Yes. So the resolutions are remaining low, so the formations are really the largest driver of yields and those also effects.
Mario Mendonca: But, does that mean there were no resolutions in the quarter? Is that the way to turn it?
Laurent Ferreira: No, there were resolutions. And as you know, our level of write-offs at ABA remains low. Typically, when you continue, you -- Let me back it up. So when you look at the new formations, there's three things you look at. The first is, how are the newly impaired loan, and these were down. When you look at the recoveries, these were down too. Not the recoveries, but the return to performing, these were better. And when you look at the resolutions, they were still low and our write-off was still low. That's why the increase matches. Maybe we can take it offline if you have more detailed questions on that one.
Mario Mendonca: I think I follow. Is there something in your supplement that actually shows that reconciliation? There's a lot of paper in front right now, so perhaps.
Laurent Ferreira: We'll take it offline.
Operator: Thank you. The next question is from Paul Holden from CIBC. Please go ahead. Your line is open.
Paul Holden: Thank you. Good morning. I just want to ask about your outlook for organic loan growth, particularly in commercial loans. I'm just wondering how it might be impacted by the focus on the CWB integration, I guess, if at all, or if you slow organic loan growth while you digest CWB? And then second part of that is, how does organic loan growth get impacted by the macro uncertainty? Do you believe, it will remain for the industry low or do you think, there's a little bit of signs of stability and improved market conditions for the back half of the year?
Judith Ménard: I'll take this one. This is Judith Ménard. Thanks, Paul. So on our outlook on growth, we see growth in the low teens, mainly driven by insured real estate as it happened like many quarters back and diversified with large commercial clients across Canada. So this is on the national side. With CWB, this is not a surprise that, growth is very soft during the integration. We do expect growth to pick up, once clients starts migrating and integration is really what we were focusing on, as Michael said at the beginning of the call. But concerning economy uncertainty, so we still see that uncertainties, but with the growth that we've been seeing with our insured real estate, it's less affected, I would say. So we're still confident that our growth is going to continue.
Paul Holden: Okay. Thanks for that. And then second question is going back to Étienne. And just looking at the regulatory capital supplemental, just noticed that, the amount of capital required for FX risk has increased, and increased quite significantly since the end of 2024. So just wondering if that's just a product of market conditions and opportunities or if there is some kind of intentional build out of the FX trading platform?
Étienne Dubuc: No. I think you nailed it, Paul. It's mostly increased volatility tends to increase market risk exposures. I think, that's really the most of the answer there, both on the FX side, and on the equity volatility side.
Paul Holden: Okay, got it. And just maybe as a follow-up, it'd be helpful to understand that, Chantal, sort of if you could list down two, three or four things that help us better understand sort of the long-term growth trajectory for the trading business? Obviously, there's a lot of volatility from quarter-to-quarter, and this quarter being good volatility. But how do we think about sort of the longer-term underlying growth trends, and the major drivers behind that?
Laurent Ferreira: Well, we'll have to take a step back and look at the strategy. If we focus on trading, what are we, right? We're a domestically-focused operation that focuses on structuring, liquidity providing, being leaders in the different underlyings in Canada. If something is trading in Canada, I want to be the lead market maker on it. We want a trader or an algorithm making a market on it, providing liquidity. Same thing for structured products. We want to lead with deep expertise. And then, we want to cover clients through a cycle, which means that, we want to adopt a defensive position, so that we're able to cover clients even during the tougher times, when markets get dislocated and volatile, which is why, we have this core defensive position, which we won't deviate from. And I want to see another thing that I think is a feature of our strategy is, innovation, in terms of trading technology, in terms of pricing technology, in terms of operations. We won't hesitate to build in house, to when we see that technology can be a differentiator. I don't think you can hope to compete with vendor solutions in capital markets in 2025. So, we don't hesitate to build technology ourselves to generate scale. And I think that's what you're seeing in quarters like this is really, scale being delivered by the trading businesses. And so, you're going to see it more and more central stack of technology being reused across asset classes and it can be in FX, it can be in RESL, it can be in securities lending, for example, look for a lot more automation on the securities lending side. So everywhere, look for us to add process power and add scale to our operation. And another feature of that is we took our ops team, Paul, and we brought it back really closer to the businesses. So ops is really part of the financial markets operation, because we also see operational excellence as a potential differentiator. So that's really how we think about, how we want to build our trading operations going forward.
Operator: Thank you. The next question is from Lamar Persaud from Cormark Securities. Please go ahead. Your line is open.
Lemar Persaud: Yes, thanks. I'm going to start off with Étienne here. Obviously, another big quarter for trading and you could guess by the nature of the questions on the call so far that we're all trying to really figure out what's kind of driving that. Is there -- let me ask it more specifically, is there something that's changed structurally in your business that suggests we have to think about national as running at a higher trading level going forward? Or, is there something special that's going on in some of your maybe non-Canadian geographies that's really driving this big uplift in the equities business?
Étienne Dubuc: Thanks, Lamar. That's a good question. I don't think there is something fundamental that is going on for sure. And maybe to follow-up on the question, I gave Paul, is look for international to take a growing place in what we do, but we'll do it organically and we'll do it from a position of strength. Once we have built what we feel is an edge in a certain activity or a product, we will port that knowledge to some other jurisdictions. But what we won't do is, go to another country and try to be everything for everybody. We want to specialize in the products we're good at, but I think that, this creates opportunity to be leaders in some niches in The U.S., in Europe, in Asia as we move forward. So look for growth there. But, as something fundamentally changed in our strategy or the way that we operate, no, I still think that trading will not probably grow sequentially the next two quarters. But if I look at where we were five years ago and where we're going, it's a really interesting CAGR and look for more growth in the coming years.
Lamar Persaud: Okay. Thanks. And then maybe moving on to a different type of question, probably for Marie Chantal here. The amortization of this fair value mark was kind of lighter than I would expect just based on, I guess, what you guys disclosed last quarter that $0.09 quarterly impact. Based on my math, it looks like it was around a third of that. Do I have that right? And then secondly, maybe you can kind of talk about how you see P&C NIMs evolving relative to the 2.3% in Q2 and then also comment on all bank NIM expectations. That would be helpful.
Marie Gingras: Yes. Thanks, Lemar, for the question. So, you're right. Amortization was a bit lower in Q3 and Q2. It's primarily attributed to a modest markdown on assets that we did relatively to short maturities. So the reduction is largely driven by specific segments within CWB, mortgages and retail leases. And if you look at the end of our material, you'll see the appendix showing the future estimated amortization impact that we've updated for you guys. And on the P&C NIM growth, do you want to start all bank? I can start with the all bank NIM and then I'll pass it over to Lucie for a little bit of deep dive on the P&C NIM. So on the all bank basis, obviously, CWB continues to be accretive to NIM. Bear in mind though that, because of what we just discussed, the impact of the amortization increase on the fair value in Q3 is a factor to consider in the all bank NIM going forward. There are many elements obviously to consider. And as I said in my remarks, business mix could continue to impact the NIM going forward, and different moving parts will also be dependent on market conditions. So I think what's most important to remember is that, we continue to be focused on growing NII, growing the balance sheet and growing the franchise. I think that's what the important messages are. Lucie do you want to add anything on the P&C?
Lucie Blanchet: Yes. If we unpack some of the levers there of the directions. If we look at the asset spread, they've been mainly neutral this quarter, and we expect them to continue to be neutral. We do have a good diversified asset mix between the retail and commercial products that should allow asset spread to remain resilient. And on the deposit spread, the deposit growth that we delivered, let's say, for example, 14% demand deposit growth this quarter is expected to continue to be strong and that should help the deposit mix, but it's expected to be mainly offset by the pressure on the term deposit that we see out there. The market is very competitive for term deposits. So at the end of the day, the direction of the NIM in the P&C is really, like Laurent then said, a factor of the good outlook we have on retail and commercial loan growth combined with an environment that is not conducive to term deposit growth. So, that's what we'll continue to put pressure on the NIM next quarter we expect.
Operator: Thank you. The next question is from Mike Rizvanovic from Scotiabank. Please go ahead. Your line is open.
Mike Rizvanovic: Hi. A quick one for Jean-Sébastien. Just maybe going back to ABA, just trying to get an understanding of if anything's changed in terms of, I think the previous guidance being that two-thirds of what gets resolved does not come with a write-off. And I think your write-offs, they jumped a bit in the quarter. I think it's the highest we've seen at $9 million. I get it, it's still de minimis. But in terms of that prior guidance, has anything changed? And then second part for the question is, what's the reasonable timeline as you learn more about the backlog in the quarter? Is this something that could last for another couple of years plus? Or is this something, like, should you see some acceleration in workout maybe in the next few quarters? I'm just trying to understand the trajectory if you have a better sense of it today.
Jean-Sébastien Grisé: Good. So thank you, Mike, for your questions. For the first part, obviously, the recovery rates on file vary a little bit from quarter-to-quarter. But the guidance that we had provided that formations in Q4 would be at the higher end of what we expected going forward. That is proving to be true, and we're absolutely maintaining it. As for your other question is a bit kind of a peak GIL type of question. So for this, I won't venture into predicting when the peak will be, but we are seeing a flattening of the curve. And we have seen two consecutive quarters of formations decline, which we view positively. And looking at the formations, they're really driven by a reduction in newly impaired and some return to performing. And we're maintaining our guidance to what we said before, but we are also continuing to build impaired allowances. And you've also seen us this quarter build 33 weeks of performing allowances to make sure we're well positioned going forward.
Mike Rizvanovic: Okay. So no change in the trajectory in the potential of seeing a bit of acceleration in that backlog. You don't really have a better sense today than you did last quarter. Is that fair?
Jean-Sébastien Grisé: I would say it's accurate.
Mike Rizvanovic: Okay. And then quick one for Lucie, just on the mortgage growth. I think you did suggest 4% year-over-year ex-CWB. I don't know if you disclosed or sorry if I missed it, but what was it quarter-over-quarter? Just trying to get a sense of what you're seeing in the market in terms of spread? Any differentials in distribution channels, specifically the broker channel? Are you seeing any pressure there? We did have one of your peers suggest that, they're seeing a bit of competitive dynamics, reducing spreads in the broker channel specifically. Any thoughts on that?
Lucie Blanchet: Yes. The broker channel is always a competitive channel, that's for sure. What we've seen this quarter, the mortgage spreads have been neutral for us sequentially. Definitely, there has been pressure on the competitive side and the cost of fund side. But for us, it was completely offset by the excellent momentum we have in volume origination and in our very good performance in renewal. So definitely, there is a bit of pressure out there, but our good performance was able to offset that. Does that answer your question?
Mike Rizvanovic: Yes, that's helpful. And then just to kind of extrapolate from that 4% year-over-year growth ex-CWB in mortgages, that would imply a relatively flat result quarter-over-quarter. Is that fair?
Lucie Blanchet: I would say, yes, but that's result over quarter-over-quarter is also the result of still very strong origination year-over-year and even quarter-to-quarter as we get into the season. So our teams are very much focused right now in responding to the demand out there because definitely, we see the real estate market very differently across the country, and different in terms of region and also different in terms of single dwelling and types of dwelling. And where our strengths are, is where the market remains active. So we're still very, very positive on the outflow on the mortgage front.
Mike Rizvanovic: Okay. But you're confirming that, it was roughly flat sequentially on the balance side?
Lucie Blanchet: Yes.
Operator: Thank you. Your next question is from Ebrahim Poonawala from Bank of America. Please go ahead. Your line is open.
Ebrahim Poonawala: Good afternoon. But just had a quick follow-up on credit looking at the Slide 36, where you lay out the unemployment assumptions, I think about 7.1% for this year and next year versus the 6.9% today. Just talk to us when we think about the reserves at the end of the quarter, how should we think about the peak that you have in there at 9.6% versus the average of 7.1? Does that suggest that if unemployment moved to 7.3% or 7.4% over the coming months, the reserve requirement would have to go up by a lot? What's the framework in which how we should look at these numbers and think about where the ACL is today?
Jean-Sébastien Grisé: Thank you, Ibrahim. I'll take the question. And I'll give you a long answer on this one because there's a lot of factors to consider. And when assessing a build, the starting point of the allowances is important as is the starting point of the macroeconomic factors that you have. And as I pointed out in my prepared remarks, we've had 12 consecutive quarters of build, including 9 bps last quarter. When you look specifically at the build this quarter, the impacts of the macroeconomic factors were very limited, given our already pessimistic assumptions and weights. When you go look at our scenarios and our pessimistic scenarios, they already called for a peak GDP decrease of minus 5.4%, unemployment at minus 9.6%, HPI down at 20% and S&P TSX at minus 26%. And we're already weighted towards the pessimistic. So what we did this quarter to affect our performing PCL, it was really taking management actions. The first one was recalibrating the model, and more precisely, we increased the PD calibrations on our models. And second, we added a tariff uncertainty management overlay using two approaches. The first one is a global trade war scenario. And second is we simulated further downgrades of clients exposed to sub-sectors. And these impacts created around 70% of our build in our non-retail book. And in our credit card book, which is where typically the macroeconomic factors are the most sensitive, we now have a total ACL coverage ratio of over 8.2%. So, we feel very comfortable with where we are right now.
Ebrahim Poonawala: Got it. Thanks for running through that. And I guess maybe just one quick one, Laurent, for you. You're very vocal ahead of the elections in terms of the policies the new government should take to sort of be pro business, get activity going. Early days, but just give us your view around based on what you've seen today, are you optimistic? What are you paying attention to as we think about data points, that would make us optimistic about private sector investment job growth in Canada?
Laurent Ferreira: Thank you for your question, Ibrahim. I am very optimistic. Everything that we're hearing right now from federal, also provincial government in terms of working together and making the economy a priority is very encouraging. So, yes, it is early days, you just mentioned it, but I can tell you that from our standpoint, from also talking to our clients, they are engaging with the business community and figuring out what are the various paths that we should be taking in order to rejuvenate growth in our country. And I'm also encouraged with, I think, the early discussions that our government is having with the U.S. administration. I do believe that, we will have stronger ties, once we sit down and figure out, where do we land with what's going on in the world. So overall, it's positive, Ibrahim.
Operator: The last question is from Darko Mihelic from RBC Capital Markets. Please go ahead. Your line is open.
Darko Mihelic: Thank you for squeezing me in. I appreciate that. I wanted to go back to Étienne just for a little bit here on trading because it is so different from your peers. And when I look at what your peers have done quarter-over-quarter, 44% drop at BMO, 30% at Scotia, Europe 48% quarter-over-quarter. I won't compare you to TD, because they had the Schwab sale in the quarter, which obviously helped them. And I wanted to connect this with some of your earlier commentary because you kept saying, I think, a couple of places that you have sort of this defensive position. And it brings to mind the thought that, perhaps what you in essence is a put option on equity markets. And so, the question is really threefold around that. Am I correct in thinking that, your base position is essentially a bit of a put option on equity markets? And if so, where is that coming from? And is there an element of proprietary trading in here, that we may or may not be seeing from other banks?
Laurent Ferreira: Yes. Thanks for the question, Darko. First of all, no, there's no proprietary trading. Everything there is client driven. That said, because we structure products where sometimes you don't have the perfect hedge, you need to take views on the market so that you don't cross the bid ask spread all the time to re hedge some of these more illiquid exposures that we sell to clients, things like long-term volatilities, long-term correlations. So sometimes -- and that's a big part of the defensive positioning, we really bias the book towards being defensive because, we know what can happen, right? Most of us have lived through the great financial crisis. We've lived through COVID. Models can describe risk at a given point, but when markets go down, everything bad happens, at the same time. And so suddenly a lot of bad things happen once markets are down 20%, 30%. And experienced traders, and we have a lot of those, they know that, and they how to orient their book accordingly. That said, your question is, is there a downside put option? Yes, in our structured products business, some of the products we sell do have essentially make us long downside volatility, because we can sell soft protection to clients. So the clients are protected maybe for the first 30% down move, but after that, they're not protected anymore. So you could see that as a downside put that clients sell us, when they buy those products. I'll say another thing is that, and I touched on the market making operation that we have in equities, ETFs, options, rates. We have a lot of in house technology that is very fast. And so, when markets get volatile and that tends to happen when markets go down, markets become more volatile, bid ask spreads widen. If you have good technology, you can be first to market on a lot more opportunities, as the slower players have to widen their strategy, because they're getting picked off. The markets are going too fast. So in every trading business we have, we want to install these optionalities, where we'll make more money when things get really out-of-normal condition. We really want to be anti-fragile in the way that our trading businesses operate. And so, technology defensive. And that means, Darko, that we leave money on the table in the good x. Nothing is free. So when markets are slowly going up or are very quiet, we're not going to be the top performer. And we accept that, because we want to manage this through a cycle and be there for clients when it counts. So that's really the philosophy around how we think about the trading businesses.
Darko Mihelic: Okay. That's very helpful. I appreciate that answer and that granularity and it does help me think about sort of upward moving equity markets. And just as a last follow on to that, Étienne, when I look at the again, $542 million in equities is a big number, and it's really up from last year. And, yet, I don't see a change in the bar. Am I -- is there something that I'm missing? Some sort of to put that kind of number out, would it not require some higher element of risk or balance sheet or how should I think of it? You mentioned that, there's nothing really structural or fundamentally different. So I'm just trying to put it in perspective of typically, when I think of this kind of volatility helping you out so much with the same bar, I'm a bit confused by it.
Étienne Dubuc: Yes. That's a complex question, Darko. One thing I'll say is that sometimes because of our risk profile that is very geared towards making money on the downside, the vast scenarios that generate losses will really scenarios, so that can flip depending on which position we have on. Then it really become -- it really varies with the size of the positions, and that's also affected a lot by client activity. So these folks are not static. They are very active, as client as we trade against clients constantly. So, VAR can be affected by many different things.
Operator: Thank you. There are no further questions registered at this time. I will turn the call back to Mr. Ferreira.
Laurent Ferreira: Thank you, operator. I want to recognize all employees, including employees newly joined from CWB. I want to thank you for your dedication, hard work on the integration and the support you are bringing to our clients. The path we're on gives me great confidence at this point in time. Finally, I would also like to thank our shareholders for their continued support. Have a great summer.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.